Christopher Kusumowidagdo: Good afternoon, and welcome to XLSMART's Fourth Quarter 2025 Earnings Call. My name is Christopher, Head of Investor Relations, and I will be coordinating today's call. Our presentation and financial results were released this morning and are available on our Investor Relations website. Today's call will begin with prepared remarks from our management team, followed by a hybrid Q&A session. [Operator Instructions] As a reminder, the session is being recorded. I would like to introduce our speakers for today's call: Mr. Rajeev Sethi, Present Director and CEO; Mr. Antony Susilo, Director and Chief Financial Officer; Mr. David Oses, Director and Chief Commercial Officer for Consumer; Mr. Feiruz Ikhwan, Director and Chief Strategy and Home Business Officer. And with that, I will now hand over to Mr. Rajeev to begin with the management highlights.
Rajeev Sethi: Thank you, Christopher, and good afternoon, everyone, and thank you for joining us. As you know, the company was formed in April of last year 2025. So this was the first year for XLSMART. And this quarter closes our first year post merger. And from our point of view, the message is very clear. Execution matters, and we are happy to state that we have delivered. If I speak about the merger, we have successfully completed the 2025 integration milestone. And most importantly, we've done this ahead of the plan. and it translates into operational efficiency, faster decision-making and a more disciplined cost base. Integration risk has materially reduced as we enter into the new year. Secondly, on synergies, we've achieved our 2025 synergy targets with OpEx synergies exceeding our initial expectations. This gives us confidence that margin expansion is structural improvement that will continue in 2026 also. The heavy lifting on cost has largely been done. The focus now shifts to sustaining discipline. Next, on growth quality. Revenue growth was supported by a fully consolidated subscriber base and more importantly, a strong ARPU uplift, which was around 26% post merger. This was driven by pricing simplification and better customer experience, choices which were deliberate and that prioritized value over volume. And as we said earlier, in this market, we'll want to play a responsible game and we'll encourage the market players to move into a situation, which helps restore health to this industry. And we are also seeing clearer evidence that customers are willing to pay for a more consistent high-quality service. Finally, on the network, network consolidation has strengthened our performance across key metrics. And this was complemented by our recent launch of 5G services in Jakarta, Surabaya, Bali and other cities. In summary, 2025 demonstrates disciplined execution across integration, cost, growth and network. We exit the year with a stronger foundation, reduced complexity and a clearer path to sustainable value creation going forward. If I move to the next slide, building on the highlights which I've just shared, I'll go a level deeper into how this merger is being executed and what has been delivered on ground. Starting with network. This is the most complex integration stream and also the one that matters most for long-term performance. We are on track to complete full network integration by first half of 2026. Progress so far has been encouraging with visible improvements in coverage, capacity and consistency. Importantly, we are managing this carefully, protecting service quality and minimizing operational risk and both of these remain nonnegotiable. On customer experience, we are seeing integration benefits are already being felt and enjoyed by the customers. We have improved download speeds by up to 83% across the combined base. This is a real meaningful improvement that supports better engagement and underpins the ARPU uplift that we are seeing post merger. On synergies, execution has been strong. In the first year, we have delivered approximately USD 250 million of gross synergies, driven by OpEx efficiencies, procurement scale and network rationalization. This confirms that the merger economics are playing out as expected and in some areas, better than what we had initially planned. Finally, on business continuity. Throughout the integration process, we have maintained service stability and sustained growth momentum. This disciplined approach has allowed us to transform the business without disrupting day-to-day operations. Overall, the message on this slide reinforces a simple point. Merger is being executed with control and discipline, delivering tangible gains today, while we are preparing a solid foundation for the next phase of integration and value creation. If I move to the next slide, which is talking about the integration progress. And as I mentioned earlier, on the overall execution, the integration milestones were completed ahead of plan. This pace reflects strong governance, clear accountability and tight coordination across multiple teams. More importantly, it reduces execution risk as we move into the next phase of integration. On network, consolidation has progressed materially. We've integrated approximately 34,500 sites by December last year, delivering visible improvements in network performance and customer experience. By the end of Q4 '25, around 70% of the sites have been consolidated. And as I said earlier, it puts us in a very strong position to finish most of the integration by H1 '26. From an organization perspective, the end state structure is now in place. We have harmonized processes and governance across the combined entity, creating clearer decision risk, decision rights, faster execution and better cost control. In total, around 120 processes have been streamlined and standardized. Finally, on the cost base, we have structurally streamlined our cost base, including vendor consolidation and site optimization. These actions underpin the OpEx synergies already delivered and support sustainable efficiency going forward rather than just short-term savings. To summarize, 2025 integration has been executed with speed and discipline. The foundation is now largely built. Risks are lower as we move forward, and the focus shifts towards optimization and value extraction in a way moving away from integration to driving more value. The last part, which I'm going to talk about is on the 5G rollout. As we said earlier, this merger gave us an opportunity to ready our network for 5G, and we are delivering on that promise. And we believe 5G is a key pillar of our growth and differentiation strategy. We want to be leaders in 5G, simply put. Our focus is not just on rolling out 5G faster, but on delivering a clear, consistent and commercially meaningful 5G experience. Today, we offer what we believe is the first true 5G experience in Indonesia. This is built on 3 core propositions. First, blanket city coverage. And this, I believe, is rare in many parts of the world. It's not only your home is covered or your workplace is covered, wherever you go in a city, you will find 5G. Secondly, an auto 5G experience where customers with 5G devices can seamlessly access speeds up to 250 Mbps without complexity. There is no special plan for availing 5G benefits. And thirdly, a dedicated 5G spectrum, which delivers more consistent speeds and better user quality, especially in high usage area. In terms of coverage, our 5G network is now live around 33 cities and continues to expand. Importantly, the experience is designed to be certified and consistent with capacity strengthened where demand is highest. This approach ensures that network investment is closely aligned with actual usage and monetization potential. Equally important is brand clarity, where we have positioned 5G clearly across our portfolio of 3 brands -- 4 brands, if I may say, XL Prepaid, the postpaid brand, Prioritas, AXIS and Smartfren. Each brand plays a distinct role, avoiding overlap while maximizing reach. In summary, our 5G strategy is deliberate and focused, combining disciplined rollout, consistent experience and clear brand positioning to support sustainable growth and long-term. I thought that was my last slide, but there's one more, which is on the network side, and I'm happy to give you an update on that. By end of last year, our total BTS count reached more than 225,000, which is a 36% increase year-on-year. This reflects the post-merger consolidation of our network and continued investment in capacity, particularly in 5G. As expected, legacy technologies continue to decline as we optimize the network towards more efficient and higher performance platforms. On 5G, we continue to expand our footprint in a disciplined and targeted manner. As I said earlier, we launched our services and we expanded further in January 2026. In addition to the expansion, we are also seeing external validation of our network quality. And I'm happy to announce that XLSMART was awarded the Ookla Speedtest Award our Fastest 5G Network in Indonesia, reinforcing our commitment to delivering a globally benchmarked high-performance connectivity. This reflects the progress we have made in network design, spectrum strategy and execution quality. Overall, our network strategy is delivering on 3 fronts: scale, performance and resilience, providing a strong foundation to support growth, accelerate 5G monetization and maintain customers trust going forward. I'll now hand over to our CFO, Pa Antony, to walk us through the financial results.
Antony Susilo: Thank you, Pa Rajeev. Good afternoon, everyone. Let me now present you our key operating metrics, which reflect a clear shift toward quality growth. We know that this quality growth because of the price adjustment and also the broader industry recovery. So let's start with the subscribers. Our mobile subscriber base become 73 million in Q4 2025, representing an 8% quarter-on-quarter decline. This decline was an intentional outcome reflecting a tighter acquisition discipline as well as a sharper focus on monetization and high-quality users. Most importantly, on a year-on-year basis, the consolidated base remains up by 24%, reflecting the post-merger scale of the business. If we look at the ARPU, this is where the benefit of our strategy are most visible. Blended ARPU increased by 15% Q-on-Q to become INR 44,800 in quarter 4 2025. This mainly driven by the improvement across both in the prepaid as well as postpaid segments. And this reflects the pricing normalization, better customer mix and confirms that we are capturing more value for users. In erms of the usage data traffic, it continues to grow despite of the lower subscriber base. Traffic reached almost 4,000 petabytes in Q4 2025, an increase of 47% year-on-year and 2% quarter-on-quarter. This growth in consumption per customer reinforces the positive relationship between network quality, the engagement as well as the monetization. So overall, these trends demonstrate that our strategy is working well. Our subscriber numbers have normalized, becoming better customer quality, intensity and ARPU continue to improve. This positioning the business to be more sustainable and more profitable growth going forward basis. Now let me now present the financial performance for full year 2025, where it reflects the impact of the disciplined pricing, integration execution as well as a clear focus on value creation. We start with the revenue figures. The 2025 revenues increased by 23% year-on-year basis to become IDR 42.5 trillion driven primarily by the data as well as digital services. This growth reflects the benefit of price rationalization, ARPU uplift and also a larger consolidated base following to the merger. On a quarterly basis, the revenue grew by 4% quarter-on-quarter, demonstrating a continued momentum despite of the subscriber normalization. Moving on to the profit Normalized EBITDA for full year 2025 increased by 13% to become IDR 30.1 trillion, while reported EBITDA margins moderated at around 42%. This reflects deliberate acceleration of integration activities, which created a near-term cost pressure. On a normalized basis, EBITDA margin remained healthy at 47%, underscoring the underlying strength of the core business. At the bottom line, normalized PAT grew by 63% year-on-year to become IDR 3 trillion in full year 2025, supported by the stronger operating performance and improving operating leverage. Reported PAT continues to be impacted by integration-related costs as well as one-off items, which is temporary in nature and aligned with our transformation. Overall, our full year 2025, we demonstrated a strong financial outcome, the revenue growth supported by the pricing discipline, resilient in the profitability despite of the integration acceleration as well as integration as well as a significant stronger normalized bottom line. This position is good for us as we move into full year 2026 with a clearer earnings profile and increasing contribution from synergies. Next slide. The slides provide a quick reconciliation between our reported numbers and normalized EBITDA as well as PAT will help us to clarify the underlying performance of the business during the integration phase. On EBITDA basis, reported EBITDA full year '25 was IDR 17.8 trillion. This includes IDR 2.4 trillion of integration-related OpEx, mostly on the network costs and people costs. These are primarily associated with accelerated execution of merger initiatives. If we exclude this one-off integration costs, the normalized EBITDA stands at around IDR 20.1 trillion, reflecting the underlying strength of our core operations. At the bottom line, the reported PAT was impacted by integration OpEx and then accelerated depreciation and asset impairment. Adjusting for these 3 items, the normalized PAT for full year 2025 will be IDR 3.3 trillion. These adjustments are temporary and integration related, and they do not change the fundamental earnings capacity of the business as we move beyond the integration period to the next slide. Following the normalized EBITDA and PAT, this slide basically walks you about the operating cost base post the merger. Reported OpEx increased by 18% quarter-on-quarter in Q4 '25, largely reflecting the integration-related expenses and the expanded scale of operation after the merger. On a normalized basis, excluding the integration costs, OpEx increased by around 6% Q-on-Q, which is broadly in line with our business expansion. This indicates that the cost discipline remains intact and the majority of the increase is temporary and nonrecurring in nature. From a cost mix perspective, the main drivers for Q-on-Q increase coming from 3 factors, mainly: number one, higher labor costs related to the integration activities; second one, increased sales and marketing to support 5G launch and network expansion. And then the third one, higher infrastructure expenses due to more sites and network integration. These increases are structurally aligned with scale and integration rather than in efficiencies. Okay. So that's it from me. I shall now hand over back to Pa Rajeev, to provide the full year 2026 guidance and the proceeding parts. Thank you.
Rajeev Sethi: Sure. Thank you, Pa Antony. And as we mentioned, I will talk a bit more about the 2026 outlook. Starting with revenue, we expect revenue growth to be broadly in line with the overall market, which we believe should be recovering from a bad first half of 2025. And as all of us know, there's been a strong recovery in the second half of the year, and we expect that recovery will continue, and we'll want to participate in that market growth. And this will reflect a very disciplined approach that will prioritize value and sustainable return over just volume-driven expansion. EBITDA growth is targeted at approximately 2x the revenue growth, supported by continued cost discipline, operating leverage and the ongoing realization of merger synergies. Capitalized CapEx for 2026 is projected to be around IDR 15 trillion. This may inch up higher depending on our ability to execute all the CapEx projects which we have. If we are able to do that, it may inch towards IDR 20 trillion. And this level of investment is focused on strengthening network quality, completing integration and supporting targeted 5G expansion, while maintaining financial discipline. On synergies, we are targeting a merger synergy of between USD 250 million to USD 300 million in 2026, driven by efficiencies in network operations and vendor procurement. Beyond 2026, we remain firmly on track to achieve our full synergy potential, which as stated earlier of between USD 300 million to USD 400 million annually once the integration is fully completed, which should happen by end of this year. So this was for me, and I conclude my summary hand it back to Chris.
Christopher Kusumowidagdo: Thank you Pa Rajeev and Pa Antony for the presentation. Ladies and gentlemen, we will now proceed to the Q&A session. [Operator Instructions] The first question comes from Piyush Choudhary from HSBC. There are 4 questions. Actually just the first one. But the normalized EBITDA growth, which is only 1% Q-on-Q when the revenue is up 4% Q-on-Q. Second question is about the outlook for mobile ARPU and how are the trends in first Q 2026, so far? Question number three, what is the fixed broadband ARPU and in fixed broadband, what is the outlook for both subs and ARPU? And the fourth question, any update on the potential spectrum auction timing and pricing? For the first question, I would like to invite Pa Antony to provide some clarity on that.
Antony Susilo: Okay. Thank you Piyush. On the first item regarding the normalized EBITDA, why the growth is only 1%, while the revenue is up by 4%. I think as explained by Pa Rajeev earlier that in Q4, we did a lot of campaign on the 5G, anticipating the 5G launch. So we are already entered 33 cities in Q4 2025. So because of that, then there is an additional cost increase from the sales marketing activities. So I think that will answer the number one. On the second question maybe Pa Oses.
David Oses: So the outlook for mobile ARPU in 2026, if you take a look to the last couple of quarters, you can see that our ARPU has increased significantly. Where did the ARPU growth come from? Two areas. One is because our subscribers use more, so more gigabytes per subscriber. And number two, because our yield or price increased. So ARPU increases because people use more and because what they use, it's more expensive. If you have seen our yield in the last 2 quarters have grown double digit. So at almost 10%, right? So we have had a significant increase in the price per gigabyte or the revenue per gigabyte, very, very healthy. I would say that in quarter 1, you can expect more of the same. So our bet for good quality subscribers is there. So I guess that we will see ARPUs moving in the correct direction, up, with prices also moving in the correct direction and traffic coming as well. So I would say that we could expect ARPUs to keep moving in the same direction.
Christopher Kusumowidagdo: Yes, David. For the FPD, I would like to invite Pa Feiruz to provide some color on the [ FPD ]
Feiruz Ikhwan: Sure, Piyush. Thanks for the question. For ARPU, typically, we've not disclosed in terms of the fixed broadband ARPU. But I guess, let me allow to give you a bit of color in terms of the outlook, right, for the subs and ARPU. I think you have seen the market and industry have seen some moderation in the ARPU. But I think suffice to say that any decline in ARPU that we see are much more moderated compared to the res of the market. I think that clearly reflects also our discipline, right, in pricing and focusing on higher quality acquisitions. I think from the subscribers, there's a lot more demand, right? I think the broadband demand remains structurally strong, right? In Indonesia, we see a huge opportunity for growth, as data consumption increases, in particular, in the home. Having said that, I think we need to be responsible, right, in terms of capturing the growth and targeting the right segments by offering the right products and without, shall I say, destroying right, further value.
Antony Susilo: Thank you, Pa Feiruz.
Rajeev Sethi: Yes. On the last one, on the spectrum, Piyush, on the timing, we believe this should be completed and awarded by H1 of this year, the first half. Pricing, I would not want to speculate. We just hope that the pricing is rationale, which enables us to offer better services to the customers.
Christopher Kusumowidagdo: I'll open the line for Piyush.
Piyush Choudhary: Just 2 follow-ups. Firstly, which spectrum band are you using for 5G? And are you deploying or SA or NSA? And secondly, on your kind of subscriber base of 73 million, how much is the 5G device penetration at the moment?
Rajeev Sethi: Yes. So currently, we are using NSA and the spectrum which we are using is [ 2,300 ]. And the device penetration, David, would you want to?
David Oses: Yes, device penetration in the cities that we are launching in the cities, the 33 cities that we are already up and running. We can say that the device penetration is around 20% in the cities in our own customer base, could be close to that number as well. I would like to underline in any case that even though the device penetration today in those cities, of course, in more rural areas will be lower in the cities that we are launching, it's around 20%. But the most important is that the replacement of the devices, the new devices that are coming are in a bigger percentage, 5G devices.
Christopher Kusumowidagdo: Next question from [ Sabrina ] from [ Prime Securitas ]. Three questions. First one, should we expect accelerated depreciation to continue only through first half 2026, in line with the completion of our integration? And it would be helpful if you could provide an indication of the magnitude. Question number two, noted a significant increase in salaries and allowance expenses, could you elaborate on the drivers? Is this related to costs associated with employee optimization? And should we expect this level to persist on normalized post first half of 2026 once integration is completed? Third question is, does your EBITDA guidance incorporates the potential costs related to this year's spectrum offsets? For all the 3 questions, I would like to invite Pa Antony to provide some color on that.
Antony Susilo: Okay. So on the first question on the accelerated depreciation. I think we mentioned that our full integration will be completed by 2 years. So I understand that from Pa Rajeev presentation, as we mentioned, the MOCN network already happens like some 70% already. But then in terms of the accelerated depreciation, I think will not be witnessed by first half of 2026, it will still continue until end of 2026. But I believe the Q4 2026 hopefully, will be already showing a lower rate starting Q3, Q4 because the heavy one in the first half in mid, yes, correct, maybe Q3 also correct. But then Q4 will be tapering off to the last one. Yes. That's on the first one. The second one, in terms of the significant increase in salary and low expenses in Q4. Yes, it is mostly in the Q4, there is risk cost interest associated to the employee optimizations. Yes, there is some program that the management leads to the company that -- because we hear from the employees that some of the employees know that they want to make some -- they want the management to make some programs to offer them resignation program. So it is based on mutual scheme program. And then some of the employees took that program. Because of that, then we incur quite a number of operating expenses in terms of personal expenses. So these things only happened in December, this mature scheme program. Next year, I think it will be already -- will be very, very minimal, I would say. That we still see that there is some very things that we can optimize, but it will be minimal. The biggest chunk already happens in 2025 -- December 2025. So I think that's to answer number two. And number three, does your EBITDA guidance incorporate the potential cost spectrum? Today, this EBITDA guidance is before the spectrum auction. Because at this moment, we don't know how much is the spectrum piece that we will be opened by the -- or will be finalized by the government at this moment. So we -- this EBITDA guidance is still outside or exclude the spectrum auction.
Christopher Kusumowidagdo: Now please open the line for [ Sabisa ] if you have any follow-up questions.
Unknown Analyst: Maybe just one follow-up questions, but just not related to my questions earlier. I just want to know about the ARPU momentum because we track like in January, I think there has been no bonus quotas being offered in January. So are we seeing this trend to continue in February as well as March? Is this part of the pricing strategy to lift up the data yield going forward? Or as we know that the festive season is approaching soon, right? So are you guys planning to increase some bonus quota. And therefore, we should anticipate like there could be some pressure in the value for first Q?
David Oses: Actually, no. So as you say, the closer the festive period, the better the moment to monetize. Let me put it this way. So independent of that specific seasonality, I think our strategy is clear, we want high value customers and our strategy is going to be to try to avoid as much as possible this previous or be at least very conscious of the price per kilowatt that we are charging. In that sense, again, you can see that in the last 2 quarters, we can -- we have been able to increase the revenue per gigabyte double-digit, 10%. So I think that shows very clearly that we are very serious on our strategy of repairing the market, number one, and going after the high-quality subscribers. So this is our strategy, and this is how we'll follow.
Christopher Kusumowidagdo: Do you have a follow-up question?
Unknown Analyst: No further question from me.
Christopher Kusumowidagdo: Let's move on to the next question from in Safari from [indiscernible]. Now that XLSMART has exited its position in Mora, how will the company navigate its future focus? And second question, despite the year of a year, a dip in subscriber, will XLSMART continue to pursue its fixed mobile strategy? Or will you be focused primarily on your core mobile telco business. I would like to invite, Mr. Rajeev to provide some color.
Rajeev Sethi: I think exiting Morato was decided premerger that the principal shareholders investments in the subsidiary companies will be monetized. It's part of that. But it doesn't fundamentally change our future, especially on the home broadband or SPP, as you call it. The focus on this continues. And as we said earlier, we would want to work with any partner who is in a position to provide us access to home passes. We are working with the biggest FLP providers in the market, fiber lease providers, and we'll continue to expand that part. The other part is whether FPB is an option for us or we'll go back to only mobile telco. I think all of us realize that more and more consumption eventually will happen inside the home. So it is super important for us as a mobile operator also to win the home market also. And that focus will continue. Towards that, we'll have both the strategies, which will be fiber at home and also FWA on 5G. And our 5G investment, as we spoke about, we are very proud about blanket 5G coverage in many cities, and we'll continue to roll that out. And all those cities will be using 5G, FWA to provide a very attractive alternative option for the customers to enjoy a fiber-like WiFi experience at home. So short answer is the focus will continue. In fact, it will be even more stronger as we move forward.
Christopher Kusumowidagdo: Thanks, Pa Rajeev. Now I'd like to open the line for Mr. [indiscernible] ask follow-up questions, please, you have. Since no follow-up questions, I think we can move on to the next question. The next question is coming from [ Brian ] from [ UOBKN ]. How much more integration costs should we expect in 2026? Could you provide some color on when this cost will be booked? Also there is regarding accurate depreciation, impartment costs and sell costs, could you provide what page you'll see this group? I would like now to invite Mr. Antony to provide the color.
Antony Susilo: Okay. The integration costs for 2026, we expect the amount will be less than what much less than 2025. If you look at the 2025 figure, it's IDR 2.4 trillion. But then I think I believe in the 2026, it would be less than IDR 1 trillion. That's on the integration costs. And then the question regarding the accelerated depreciation, I think on the external depreciation, I already mentioned a little bit, but if you want -- just to give another color on the amount. The amount will be more or less around IDR 5 trillion. So in the 2025, it's around IDR 4 trillion, IDR 4.7 million, I believe, and then going up to around IDr 5 trillion, slightly higher, okay? So I think that's the answer to the question.
Christopher Kusumowidagdo: Thank you, Pa Antony. Brian, any follow-up questions?
Unknown Analyst: No, thank you.
Christopher Kusumowidagdo: We have the question coming from Arthur Pineda from Citi. There are 2 questions. First one is where do you see the market growth levels in 2026? And number two, can you help us identify the depreciation and amortization trend for 2026? What was the annual D&A being moved from the assets that will remove based on accelerated depreciation? There are 3 questions. The third one, where do you see mobile and broadband user base into first Q 2026, do you see this reporting to growth? Or do you still see some churn? I think we can start question 1, on the market growth level. I would like to invite David.
David Oses: Well, actually, we don't usually give the guidance on how much the market can increase or not. That's why when we gave the guidance, we see in line with the market, right? And we don't give a specific number. Now if you ask me, I think we have -- I think we have the correct momentum to believe that the market can grow healthily this year unless, again, something strange happens, right? So I think we are in a correct momentum to have a good year. Again, I don't want to say this too much because if you asked me 2 years ago, in February, I will have said the same, and then if you don't have that, right? But again, I am not able to give you a number. That's why when we give the guidance, we say in line with the market.
Christopher Kusumowidagdo: Thank you, David. Second question, maybe Pa Antony, can you give more color on the D&A?
Antony Susilo: On the D&A for 2026, I think as I mentioned earlier, the D&A consist of accelerated depreciation as well as the additional of the -- because we are keep expanding, and we are expanding around 7,000 around 8,000 sites in 2026. So with that, what we call the actions, the movement. So we are expecting that the D&A for 2026 will increase maybe around 10%, 15% from 2025 figures. Yes, because accelerated depreciation still continue at IDR 5 trillion. And then the normal depreciation, of course, will -- because of the additional of new sites, then we have to start recognizing the depreciation.
Christopher Kusumowidagdo: Okay. That's it. -- thank you, Antony. And the third question, where do you see on mobile and broadband users in 2026? I think David already give some color on that. But Pa Feiruz, do you want to take some colors on your broadband?
Feiruz Ikhwan: Sure. I think typically, we don't provide guidance for the quarter. What we see is I think the market remains competitive. Having said that, we are very conscious and deliberate in trying to acquire quality subscribers, and that's the focus for value rather than just a short-term volume growth, right? Volume growth. Having said that, we've seen signs of stabilization, but it's still very early days. We still continue to improve and focus on getting the right customers as well as improving the value of our existing base.
Christopher Kusumowidagdo: Thank you, Pa Feiruz. Arthur, do you have any follow-up questions for us?
Arthur Pineda: Yes, please. Just a clarification with regard to the merger expenses being booked for 2026. You mentioned IDR 1 trillion earlier. Is that just for the OpEx side? And should we expect another IDR 5 trillion for the asset impairments? Is that how we should look at this?
Antony Susilo: You're referring to the IDR 1 trillion integration cost here, Arthur. Is that correct?
Arthur Pineda: Yes. Because in the earlier question, I think you responded with around IDR 1 trillion integration cost. Is that just for OpEx and should we assume an additional IDR 5 trillion for asset accelerated depreciation. Is that how we should look at it?
Antony Susilo: Yes. So in 2026, yes, there will be a onetime cost again, which is integration costs, which is hopefully less than IDR 1 trillion. That one is related to network as well as to people. And then for the second one is the accelerated depreciation, is around IDR 5 trillion, which is noncash items. It's another onetime cost again that we have to incur this year.
Christopher Kusumowidagdo: Now let's move on to the next question. Henry Tedja, from PT Mandiri Sekuritas. The first one, can we check about the integration cost outlook for this year, which I believe Pa Antony has already answered earlier. And second person regarding the effort to get the quality subscriber base, can we check better the subspace decline trend will start to stop or slowdown post 4Q 2025? Pa David to provide some color on the [indiscernible].
David Oses: Yes. So the subscriber base -- we usually, internally, we divide the subscribers in subscribers of less than 3 months, that have been with us less than 3 months and subscribers that have been with us more than 3 months. Those that have been with us long tenure, we call them high quality, right, usually a high ARPU, high quality. Most of the subscribers that you see that are disappearing are those that are less than 3 months. Who are those subscribers? Those subscribers are buying again and again, a SIM card, use and throw, use and throw. So probably, we were counting them more than once. So it's not one subscriber, maybe it was counting like 5. That's number one. Number 2 type, it's a very price-sensitive person who is willing to keep changing the SIM card because of a few gigabytes or a few rupia up and down. So again, our strategy was, okay, we are not going to entertain those subscribers. There are other operators where they can go and keep being entertained, but not us. So we will protect our network in order to provide the best customer experience for the good quality subscribers. We did -- we started cleaning back in quarter 3, quarter 4 and in quarter 1, I believe that we will still have some correction of these subscribers of this low-end, low-ARPU subscribers. So yes, in any case, again, our objective is to increase the amount of subscribers of good quality subscribers. That's our main topic rather than the overall or the total amounts that we have. So that's a little bit of strategy. So probably in quarter 1, you will see the total amount declining. But hopefully, internally, we will see the good quality subscribers keep increasing as we have seen in the last few months.
Christopher Kusumowidagdo: Thanks, Pa David. Henry, do you have a follow-up question to us?
Henry Tedja: Perhaps 2 questions -- 2 additional questions. First one, regarding the employee optimization costs. Would you mind to share the exact amount of the cost for this employee optimization. The second question, perhaps regarding the 5G. I mean like we are discussing about the 5G earlier in the presentation. And then in terms of how big we spend in terms of the marketing expenses and also investment as well for the 5G. So I'm just curious, what will be the factor impact for the SRS in terms of the productivity and ARPU for the subscribers in here?
Rajeev Sethi: Yes. I think on the first one, you spoke about the for people cost because of the integration, separation of people. Given the sensitivity, it's people involved, we would not want to get into too much details there. But what we can confirm is most of the cost on account of card has been incurred in 2025. There will be a small marginal cost as we move towards 2026, possibly in the first half, and it will be much smaller than what we've incurred in last year. And I think there are a couple of other questions, which is about the 5G cost, especially on the marketing, communication, sales part. Yes, quarter 4 was higher because we were just launching 5G. And we had saved for that cost during the course of the year because we knew about the impending 5-year launch. On the overall sales and marketing costs, there would be some quarters in quarter in 2026, where we are spending more in some quarters less, depending on the rollout of 5G and the seasonality, as you would appreciate. What I would encourage all of you is to take a look at an average cost for 2026 on sales and marketing, which will be very similar to 2025. Obviously, the focus will shift more and more on 5G, especially in the cities where we are launching 5G. But the overall percentage will remain percentage to revenue will remain the same. In terms of the ARPU increase, I think David can add a bit more color on this. But as we said, we believe 5G should be for everyone, and that's what we are doing. So most of the ARPU increase, we believe, would be consumption-led because people will tend to consume more because of better 5G experience. And there are certain specific plans which we are launching on 5G, which will also help us generate more revenue. But David, in case you want to get into more details.
David Oses: No. As Pa Rajeev mentioned, right, so our strategy of monetization is passive monetization in the sense that anyone with a 5G device access the 5G network in that way, their customer experience will be much better and hopefully, the usage. And as a consequence, the ARPU will be higher. That's one, plus we have specific products, very attractive products at higher prices, that will help us increase the ARPU. What we have seen in the very first month, 2 months that we have been already with the 5G specifically that. So we see that the 5G devices in 5G areas, their ARPU is significantly higher than other devices in other areas, be 5G devices in other areas or course for devices in other areas. So again, it's exciting for us to see that. And now it's more about implementing this properly and continue the expansion of the 5G in more areas.
Christopher Kusumowidagdo: Let's move on to the next question from Aurellia from BNI. There are 2 questions. The first one on the sales and marketing expense. Given the ongoing 5G expansion, do you expect 2026 outlook to follow the 4Q trend? This one likely --
Unknown Executive: I already answered that.
Christopher Kusumowidagdo: And then the second question is on ARPU, I think this one is already answered by Pa Feiruz. I think there is a question from Sachin. Unfortunately, he is not able to type, I would like now to unmute this line, Sachin from UBS. Can you please ask your question? Since Sachin is not responding, we will take your questions off-line after this call. Seems like that it, that's all the questions that we have for today's conference call. Thank you for participating. That concludes today's conference call, and thank you once again for everybody to participate. If you have any further questions, please reach out to investor relations. Stay safe and happy, and we look forward to speaking to you next quarter. Thank you.